Operator: Thank you for standing by, and welcome to the Schneider first quarter 2025 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to turn the call over to Steve Bindas, Director of Investor Relations. You may begin.
Steve Bindas: Thank you, operator, and good morning, everyone. Joining me on the call today are Mark Rourke, President and Chief Executive Officer; Darrell Campbell, Executive Vice President and Chief Financial Officer; and Jim Filter, Executive Vice President and Group President of Transportation & Logistics. Earlier today, the company issued an earnings press release. This release and an investor presentation are available on the Investor Relations section of our website at schneider.com. Our call will include remarks about future expectations, forecasts, plans, and prospects for Schneider. These constitute forward-looking statements for the purposes of the safe harbor provisions under applicable federal securities laws. Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties discussed in our SEC filings, including but not limited to our most recent annual report on Form 10-K and those risks identified in today's earnings release. All forward-looking statements are made as of the date of this call and Schneider disclaims any duty to update such statements except as required by law. In addition, pursuant to Regulation G, a reconciliation of any non-GAAP financial measures referenced during today's call can be found in our earnings relief and investor presentation, which includes reconciliations to the most directly comparable GAAP measures. Now, I'd like to turn the call over to our CEO, Mark Rourke.
Mark Rourke: Thank you, Steve and hello, everyone. Thank you for joining the Schneider call today. For our prepared remarks, I will start by providing an update on our commitment to drive ongoing structural changes in our business to restore margins, improve freight cycle resiliency, enable growth and enhance financial returns for our shareholders. Within that context, I will share my perspective on the freight market and positioning and performance across our multi-modal platform of Truckload, Intermodal and Logistics. Darrell will then provide a financial overview of the first quarter results and share our updated 2025 earnings per share and net capital expenditures guidance. Then we'll take your questions. Let me start by outlining our actions to structurally improve the business. We are following a framework based on four equally important tenants. The first tenant is to optimize capital allocation across our strategic growth drivers of dedicated Truck, Intermodal and brokerage and Logistics. In December last year, we acquired Cowan Systems, a dedicated services carrier. The first quarter of 2025 was our first full quarter with Cowan included in our results. Their contributions were immediately accretive and we expect to achieve between $20 million and $30 million of synergies at maturity. Dedicated averaged over 8500 trucks in service in the quarter, up 27% from over a year ago. Dedicated represents 70% of Truckload segment trucks and 71% of revenue. Truckload earnings improved nearly 70% year-over-year and 27% sequentially from the fourth quarter of 2024. Looking forward, we have line of sight in the second and third quarters to elevated churn because of select dedicated operations moving to network-based solutions in the current environment and a more competitive landscape. Overall, our dedicated retention rate remains in the low-90s. We will also be taking out trucks as a result of our asset efficiency actions to lower our truck to driver ratio even further. Our dedicated new business pipeline is trending to more than replace the churn but net truck growth is projected to be lower than originally expected. The second tenant is to manage the customer freight allocation process with purpose and discipline. By carefully selecting and managing our freight pool, we can ensure we are serving our customers effectively and profitably. As the quarter concluded, we are about one-third through the contractual renewal period in both truck network and intermodal. The market remains highly competitive with truck network achieving low to mid-single-digit percentage increases. And to maintain price discipline we are foregoing volume with some shippers. We are seeing an increase in the number of shipper mini allocation events to address carrier turnbacks or performance issues arising from the initial event outcomes, which gives us confidence in our strategy. The improvement in revenue per truck per week in both truck network and dedicated was 2%, which is more than 100% price driven as asset productivity was impacted by first quarter weather events. Turning to intermodal contract renewals. We are pleased with the current trend of increased volume allocations, primarily in geographies where we have positive differentiation that fits well within our network. Overall, intermodal rates remained largely flat year-over-year. The third tenet is delivering an effortless experience by making it easy for customers to work with us by providing optionality and value across our multimodal platform. We have gained market share with new customer awards by combining elements of our portfolio to sole-source facilities and/or geographies. This is particularly effective for industry-leading value retail customers as well as those in the food and beverage industry. These sole source awards dramatically lower operational complexity for shippers, while bolstering our network operations through increased freight density. Looking forward, there is a bull case based upon generally resilient macroeconomic numbers to date with stable demand and capacity continuing to exit the market. We do note that forward sentiment for customer freight demand and consumer health is less clear, particularly as tariff-driven uncertainty builds. As a result, the continued rising momentum on price recovery is also less certain. The last tenet is containing costs across all expense categories. Cost containment is critical to our overall business strategy, as it enables us to reinvest in growth initiatives and enhance our competitive position and margins. We have established targets of more than $40 million of additional cost reductions across the enterprise. The cost savings mandate encompasses ongoing investments in AI-based digital assistant technologies and the more transformative digital employee models. These advancements enables us to automate routine tasks, freeing up associates to focus on more meaningful work higher in the value chain. Beyond identified cost savings opportunities, we are evaluating the potentially meaningful impacts of tariffs on the original equipment costing, repair parts availability and cost as well as overall equipment maintenance expense. Switching now to perspectives on the freight market and on positioning and performance of our multimodal platform. Our first quarter results were in line with our expectations, despite weather impacts and growing economic uncertainty. Each of our primary segments grew revenue, earnings and margins year-over-year. In Truckload, both network and dedicated delivered improved earnings year-over-year and sequentially, driven by cost containment actions and improved freight pricing from second half of 2024 through first quarter of 2025 contractual renewals. We aim to transition to a more variable cost model and network by expanding owner-operator relationships to supplement our company driver fleet. This shift is taking longer than expected as operating and financial conditions are prompting more owner operators to exit the industry. Turning to intermodal. We nearly doubled earnings compared to a year ago on 4% order growth, driven by increasing shipping activity in the west of Mexico. We have visibility to a portion of our customers taking freight pull-ahead actions in the face of tariff uncertainty. Our year-to-date success in new business awards is expected to reduce the overall future volume variability due to trade policy. Logistics improved earnings 50% year-over-year, as our freight power for shipper and carrier digital technology allows us to remain nimble to changing market dynamics across both less than truckload and truckload modes. Overall, brokerage freight volumes are challenged, as shippers continue to favor asset-based solutions. Power Only grew volumes mid-single digits compared to a year ago as shippers and carriers value the simplicity and access of matching qualified small carriers to large trailer pool shippers. In summary, we are focused on the areas we control while maximizing our strategic differentiators. Within our locus of control is containing costs, maintaining price discipline and outperforming our competition commercially. Our strategic differentiators are unique across our four dedicated brands of Schneider, Midwest Logistics Systems, M&M transport and now the lightweight equipment solution powerhouse, Cowan Systems. Our asset-based company dray chassis and container intermodal offering combined with our strong rail relationships with the CSX, Union Pacific and CPKC creates reliable and valued solutions for intermodal shippers. Plus, our consistently profitable logistics offering enabled by our freight power platform and market leading power only capability remains a meaningful asset-light strategic contributor to the enterprise. So let me now turn over to Darrell for his insights on the first quarter and our 2025 guidance. Darrell?
Darrell Campbell: Thank you, Mark and good morning everyone. I'll review our enterprise and segment financial results for the first quarter and provide insights on our updated full year 2025 EPS and net CapEx guidance. Summaries of our financial results and guidance can be found on pages 24 to 30 of our investor presentation available on the Investor Relations section of our website. Starting with the first quarter results. Enterprise revenues excluding fuel surcharge were $1.26 billion, up 8% compared to a year ago. Adjusted income from operations was $44 million, a 47% increase year over year. Enterprise adjusted operating ratio improved 90 basis points compared to the first quarter of 2024. Adjusted diluted earnings per share for the first quarter was $0.16 compared to $0.11 last year. Through a combination of our discipline actions that we've taken on revenue management cost containment and productivity, we delivered year over year improvement in our enterprise results and across all our reportable segments. From a segment perspective, Truckload revenues excluding fuel surcharge were $614 million in the first quarter, 14% above the same period last year. This increase was primarily due to the acquisition of Cowan and higher dedicated and network revenue per truck per week, partially offset by lower network volumes. Truckload operating income was $25 million, up nearly 70% year over year due to the same factors that shape revenues. Operating ratio was 95.9%, an improvement of 130 basis points compared to first quarter of 2024. Truckload network margins improved year by year for the first time since the first quarter of 2022, due to continued improvements in price and ongoing actions to reduce variable input costs. Intermodal revenues excluding fuel surcharge were $260 million for the first quarter, 5% above the first quarter of 2024 due to volume growth and increased revenue per order. Intermodal has grown volumes year over year for four consecutive quarters. Intermodal operating income was $14 million, an increase of 97% compared to the same period last year, due to the same factors driving revenues in addition to enhanced operating leverage from network optimization, great productivity and internal cost reduction actions. Operating ratio was 94.7%, an improvement of 250 basis points compared to first quarter of 2024. Logistics revenues, excluding fuel surcharge were $332 million in the first quarter, 2% above the same period a year ago, due to our acquisition of Cowan, partially offset by lower revenue per order. Logistics' trend of profitability continued with operating income of $8 million or 50% compared to first quarter 2024. This was primarily due to effective net revenue management and the continued strength of our Power Only offering. Operating ratio was 97.6%, an improvement of 70 basis points compared to first quarter 2024. As of March 31, 2025, we had $577 million in total debt and finance lease obligations outstanding and cash and cash equivalents of $106 million. During the quarter, we use the remaining availability under a delayed draw term loan facility executed in November 2024 to repay current debt maturities. Our net debt leverage was 0.8 times at the end of the quarter. Turning to capital allocation. In the first quarter, we paid $17 million in dividends and opportunistically repurchased $8.3 million of shares. We have $46 million remaining on our $150 million share repurchase program that was established in February 2023. Net CapEx was $97 million compared to $112 million last year, due to reduced purchases of transportation equipment and other property and equipment. Free cash flow increased approximately $9 million compared to the same period in 2024. We continue to manage our fleet age within our targeted ranges and invest in technology to drive business insights and associate productivity. Moving to our updated full year 2025 guidance, our adjusted earnings per share guidance for the full year 2025 is $0.75 to $1, which assumes an effective tax rate of 23% to 24%. We also updated our net CapEx to be in the range of $325 million to $375 million for the full year from $400 million to $450 million previously. In constructing, our revised outlook for the full year, we consider the current trade policy and increased economic uncertainty and the resulting moderating impact on both price and volume. In addition, we considered our continuous efforts across all our segments to restore margins through contract renewal improvements, asset efficiency efforts, ongoing cost containment measures offset by volume and price trends by segment as the quarter progressed. The combination of these factors has tempered our expectations regarding the level of earnings improvement for the remainder of the year. Although lower, we expect continued year-on-year improvement in results throughout 2025. For our Truckload network business, we continue to deliver year-on-year pricing improvements as spot price declined through the first quarter. Due to the current environment, we now expect more moderate pricing improvements for the remainder of the year, and lower volumes and capacity growth compared to our expectations in our previous guidance. We anticipate continued resilience of our dedicated business, price is in line with our previous guidance and while we expect positive net capacity additions in 2025, we have lowered our expectations for fleet growth due to the churn that Mark mentioned. Also as a reminder, our focus on asset efficiency will remove tractors and be reflected in our 2025 net tractor growth. For Intermodal segments, we expect continued volume growth and moderate pricing improvement for the remainder of the year. Our guidance also factors in recent new business wins, which are expected to offset the near-term impact of trade policy on freight volume. Our Logistics segment outlook incorporates continued year-on-year improvements in net revenue per order. And similar to our Truckload network business, we expect the improvements to be less pronounced for the remainder of the year as spot pricing continues to moderate. We also expect lower volumes and more muted seasonality. Turning to net CapEx, our guidance assumes continued allocation of capital to organic growth in dedicated and Intermodal tractors and also reflects alignment of growth CapEx with current business and economic expectations. In addition to the volume effect on our CapEx expectations, the cost of equipment is also impacted by current trade policy. Currently known cost increases are included within our CapEx guidance with a partial offset resulting from improved equipment sale proceeds. While not contemplating in our guidance, the strength of our balance sheet also positions us to act opportunistically as we continue to explore inorganic growth opportunities. In closing, we will continue to execute against our plan to structurally position our business to demonstrate resiliency and growth in all cycles through commercial, cost, asset efficiency and capital allocation actions. These efforts have allowed us to deliver through uncertainty and to be in a position to capitalize and enhance operating leverage. With that, we'll open the call for your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Brian Ossenbeck from JPMorgan. Your line is open.
Brian Ossenbeck: Good morning. Thanks for taking the question. So I guess, maybe if you guys could give us a little bit of context considering your unique position in the market, what are you seeing when it comes to the expected deceleration of imports obviously you don't move international boxes but that stuff is all connected. So maybe what are you seeing and hearing from customers and what is contemplated in the updated guides? Thanks.
Jim Filter: Yeah, Brian this is Jim. Thanks for the question this morning. So it's really important that we're staying close to our customers as we go through this and that we're remaining nimble and offering broad solutions. As we look at across our business segments we look at Truckload and Logistics sectors, it's primarily North America oriented so difficult to quantify the impact there. When we look at Intermodal, it's approximately 15% to 25% of our businesses is tied to imports. And that's from a variety of different origins, so it's not all related to China. And we do expect that there is going to be some drop-off in volume in the Intermodal business, but we expect that our new business wins in Intermodal that Mark spoke of will largely offset what we're anticipating from imports declining. But we'd also say that we do believe that the conditions are ripe for a bullet. It appears that imports may be dropping faster than consumer demand. and a low in shipping could be the catalyst that removes additional capacity from the market. And if there were new trade agreements, there could be an abrupt restart to imports with less capacity than there is today. And so that's not our forecast, but that could be the bull case that Mark spoke of. And so we're going to stay focused on two priorities is staying close to our customers, being nimble, offering those broad solutions. But the second is focusing on what we control within each one of our sectors, the four tenets that Mark spoke of.
Darrell Campbell: Yeah. This is Darrell. I guess I'll just add some perspective on the outlook, specifically as it relates to intermodal. So we did look at various scenarios similar to what Jim was referring to regarding the duration of the trade policy impacts. and also the magnitude of what happens during that uncertainty and also when the uncertainty clears. From an intermodal perspective, specifically, there was some impact of the tariff policy on the volumes that we saw, but we have continued to see strength and improvement in volume year-over-year for the past four quarters now. So even though there is some impact of tariffs, and we've contemplated that within our guidance, the new business wins that we've had are expected to offset any potential impact in the near term. So that's built into our guidance. As a matter of pricing, we think pricing is going to moderate some, at least in the near term, and that's factored into our guidance, even though we expect year-over-year improvement across the board.
Brian Ossenbeck: All right. Thanks. Thanks for that. Maybe just as a follow-up on the new business wins within Intermodal. Jim or Mark, can you kind of characterize where those are, what type of volume when they ramp up? Is this something with the cross-border with CPKC that seems to be taking off pretty well? And then I guess similar question on the dedicated where maybe it's a little bit more competitive, where some of that pressure coming from? And sort of what are you doing to offset that to the extent you can?
Mark Rourke: Brian, I think that's four questions maybe, and I would get my mind. First, we think we had a very first -- we had a very good first quarter from our view on our commercial success in the market relative to what we call our differentiation and in intermodal where our strengths really are and fit our network really well. Now of course, awards do not mean freight just yet. The customer has to have the freight and the market has to deliver the volume from those awards. And so that's still yet in front of us. So we don't have many of those implemented yet, but we would expect to start implementing here in the second quarter in a more meaningful way. And it's really across the board, Brian. Certainly, Mexico has been a strength for us. And Jim will give maybe some just additional color relative to what's covered with the tariffs and what's not. So how durable could that volume be. But we're pleased across the board. And again, that gives us some confidence that we can withstand perhaps some of the trade lines, but it will all come down to magnitude, duration and timing, which is uncertain for us going forward, but we've tried to give our best assessment and best insight into the market based upon what we see today. And that would be the intermodal. And so Jim, maybe just some comment relative to tariff in Mexico and some of the strength we're seeing there.
Jim Filter: Yeah, two areas where we, in particular, have seen nice growth in intermodal, Mexico being one of those, and we feel very good about our -- the wins that we've had there is virtually all the goods that we're shipping cross-border are compliant with USMCA, which are currently exempt from tariffs, and we have a lot of differentiation in that product. It's having the -- we're aligned to the only railroad that is a single line railroad that brings you up to the -- both the Midwest and to the Southeast US. That's all asset-based and our really excellent execution within Mexico. So that's been a big differentiator for us. And then the second one is really providing broad solutions to customers, and Mark spoke about in the opening to be able to combine what we do in our intermodal business along with our truckload business, dedicated and logistics to provide a broad solution because customers understand that there's some variability here and you need to have some different outlets and that's really where we've had a lot of strength. Going to your second -- or fourth part of your question related to dedicated where we've seen the most competitive environment would be in more of the standard type of equipment where customers may be taking a little bit more of a short-term view. And so we're really focused on where we have the greatest differentiation which would be areas like private fleet conversions, specialty equipment, refrigerated and we see all three of those pipelines very strong.
Mark Rourke: Yeah 53 standard trailer. Most competitive.
Brian Ossenbeck: Great. Thanks Mark and Jim. I appreciate it.
Operator: Your next question comes from the line of Chris Wetherbee from Wells Fargo. Your line is open.
Chris Wetherbee: Hey thanks. Good morning guys. Darrell I think I caught on the guidance conversation you mentioned growth and over the course of the year. I don't know if that's each one of the quarters and specific to -- do you think that you can get EPS growth on a year-over-year basis for the entire year quarter-by-quarter?
Darrell Campbell: So, we typically don't give guidance by quarter, so the comments that I made were in the context of the remainder of the year. So, as it relates to the remainder of the year we expect to have year-over-year growth in price and in margin, but we don't get to that level in terms of giving quarterly guidance.
Chris Wetherbee: Okay, that's helpful. I just want to make sure I understood -- clarified what you said there. And then I guess when you think about the dedicated churn what you guys were just noting there, obviously, some parts of the market is a little bit more competitive. So, it might slow down kind of the fleet growth. Can you give us a sense of maybe what you expect over the course of the next several quarters in terms of that net fleet growth kind of the net of the churns as well as some of these new business wins that you guys are going after?
Mark Rourke: Yes, Chris really we got a few things that are perhaps moderated from our initial discussion for the full year guidance that we did originally and first of that is the insight to some of the churn. We still have a very good pipeline. We expect to fully cover the churn. But we also -- now with Cowan with the first full quarter and some of the other actions that we've been able to take within our dedicated portfolio or expected to take that we can drive more efficiency into our various account structures thereby -- have more slip seating more tractor sharing a number of things that we think we can drive more efficiency. That'll come out of the net tractor, but it'll come out because of efficiency not because of any negative commercial fallout. So, the combination of those two things, we believe, will be accretive to growth and off our first quarter numbers as it relates to total tractor count in dedicated but it won't be as pronounced as our original guidance.
Chris Wetherbee: Okay. Thanks very much. Appreciate it.
Operator: Your next question comes from the line of Jason Seidl from TD Cowen. Your line is open.
Jason Seidl: Thanks operator. Morning gentlemen. Can you talk a little bit on the dedicated side about how we should look at margins? I mean obviously there's some churn going on. You're bringing on some new business. Is this new business that you're bringing on at better margins than the churn?
Mark Rourke: Yes, we have a profile for returns in dedicated and so we're not necessarily compromising on our expected margin returns there. As we've talked in Truckload more than 100% of our earnings are coming out of dedicated in the Truckload segment in the short-term as we're working to restore profitability in the network side Jason. So, very comparable. We have very consistent methodology that we use relative to the solutions that we bring on behalf of our customers in dedicated. So, we wouldn't consider them necessarily margin eroding or materially margin enhancing it's consistent with our profile.
Jason Seidl: Okay, that makes sense. And as a follow-up on the pricing side, I mean obviously, the expectation is to see pricing moderate. You said before you're getting sort of low to mid-single on the Truckload side. If that moderates I'm assuming we're looking at sort of flat to low single-digits somewhere? And I guess my next question is to get to a more normalized state in Truckload pricing how many bid cycles will it take now? That we're seeing sort of pricing erode and your costs still aren't sort of falling off a cliff, you're still seeing some increased cost whether you look at drivers or whether you look at insurance or anything like that.
Mark Rourke: Sure, Jason. This is Mark. I'll offer some initial thoughts. And certainly, as it relates to cost. We've been very diligent and firstly, every one of our expense pools are looking for opportunity. We made solid progress, and we have the teams fully aligned on we can continue to get after improved cost position because it enhances both our margin profile but also our competitive positioning. We've also seen, and I believe we have been through the bottom of the pricing market and have shown consistent improvement even in our network business now for several quarters. And the uncertainty going forward, I think one of the things about tariffs, not only is there some volume uncertainty, but does that start to impact pricing in the short term. It looks like it may impact spot pricing initially, and we'll see what transpires from there. But I still think we have pricing opportunity. We're going to remain disciplined. We've been -- we showed it in the first quarter. I still think we'll continue to have progress as we go through the year. And commercially, that's what we're focused on.
Jim Filter: And this is Jim, just one to add on. We are seeing a additional mini allocation events occur shortly after we close out other allocations. So it just reinforces the strategy that we're taking as well as we found that bottom of the market. And there's -- it's just not sustainable at rates that are below where we are today.
Q – Jason Seidl: And are you guys seeing more carriers come out of the marketplace in any increased capacity?
Mark Rourke: I think it's been a steady drumbeat, and we see it both in the small owner operator, but we also see it through our brokerage business and our channel checks relative to the stress of those who are granting credit in this arena. So Jason, if there could be one positive, I don't know if there can be a positive with all the uncertainty, does that drive a undercelerate the exit, but we haven't seen any signs of stabilization. It's been a slow trend downwards.
Q – Jason Seidl: Appreciate it. And sorry for taking the next one there on you.
Mark Rourke: We're off our game this morning on that…
Operator: Your next question comes from the line of Ravi Shanker from Morgan Stanley. Your line is open.
Q – Ravi Shanker: Thanks. Good morning. I hope the question enforcement doesn't start now. But maybe just to -- just to follow up on the pricing commentary there. How do you even have pricing conversations in an environment like this where we're looking at polar opposite outcomes of a cliff versus a bullwhip in the next few quarters. I mean do you need to pull out a pandemic playbook here and maybe even push out bid season or talk about short-term contracts? And if yes, how does the both sides of the table is going to even come together?
Jim Filter: Hey, Ravi, this is Jim. Thanks for the question. It's really important times like this that we're stating our assumptions with our customers as we're going through an allocation event that we're sharing. This is the way that we're looking at the market. This is our assumptions. So if we happen to be wrong, we're positioned well to come back and have a further discussion in terms of how we're positioning our organization as well as the customer is able to turn back to their organization and explain the actions that they're taking.
Q – Ravi Shanker: Got it. Understood. And maybe the lack of near term clarity potentially could make you look longer term as well. We had Aurora announced this morning that they have started commercial revenue generation with autonomous trucks on public roads in Texas. Is that something that -- will you take another look at that kind of is that an important catalyst kind of how do you think about potentially taking advantage of this maybe kind of a little bit of air pocket coming to think about long-term opportunities here?
Mark Rourke: Sure, Ravi. This is Mark. Yes, we have a great deal of respect for the leadership and the capability that Aurora has built, and we've been engaged with them for a number of years now and are currently hauling series of lanes in Texas presently with safety driver in. But yes, that's something that we've continued to stay close to be clear what we believe our use cases can be there as that technology continues to develop. But congratulations to them, fine organization, and we'll continue to look for those opportunities that make sense for us and our customers.
Ravi Shanker: Wonderful. Thanks, guys.
Operator: Your next question comes from the line of Tom Wadewitz from UBS. Your line is open.
Tom Wadewitz: Yes. Good morning. Mark, I wanted to get some thoughts, I think when you were talking about -- I'm not sure if it was Dedicated, I think it was -- you were talking about like increasing use of owner-operators to make it more asset light? I mean, it makes sense. And my understanding is you guys have a very strong system for building the owner-operator base and attracting owner-operators. But I just wonder, is that a stable enough source of capacity? It seems to me like when you see the downturn the owner operator capacity is a bit less stable than what you get with the kind of company trucks or company drivers. So I don't know, I guess just thoughts on that. And is that something that you, over time, really want to swing it in a big way, the owner operator capacity? Just thought that was a topic to drill down on a little bit.
Mark Rourke: Sure, sure. And Tom, the question really, the response there was more on the network side of our business is where we deploy a series of capacity types. First, we have a very core company driver capacity that sits at the core of our network offering. But as we look at the current returns and the ability to where we want to put our strategic investments, we are looking to use more asset-light supplement to our core drivers, our core company drivers, which is not only owner-operators, but it's also where our Power Only offering adds great value to the customer as well, which is small companies coming in support of the network business. So we have the levers to pull across all three of those. And as mentioned in my opening comments, the owner-operator difficulty today, I think it just represents where the market is and the difficulty they have presently based upon the demand, the pricing environment, et cetera. So one of the advantages, coming to a company that has quality customers, has quality demand, has the trailer fleet and the ability to help with cost mitigation around fuel, cost mitigation around insurance and other, bobtail insurance and some other items. And so we think we do have a value proposition, although that part of the market is under a good deal of stress. But it's not all-in-one category or another, it's the complementary nature of company, owner-operator and Power Only to serve our network needs.
Tom Wadewitz: Okay. Yeah. That makes more sense in Dedicated, okay. Thank you. When we think about capacity attrition and I look at some of the results of the big carriers, big really well-run carriers like yourself that are not running profitably in network and there's some other big players in the same situation and maybe you may be tougher it's surprising some of the resilience of small carriers to broader industry capacity. So do you think that like the big carrier versus small carrier dynamic has changed, that maybe small carriers have reasons they can hang in better than you would think? Because you normally think big carriers have advantages, technology, obviously, recruit, driver recruiting, various things. But it just seems like, given all the pressure on the big carriers, wouldn't you see a lot more capacity attrition with the small guys? So, any thoughts on that question? Thank you.
Mark Rourke: Yeah. I think certainly, the correction in capacity has been a bit more stubborn this time, but it's occurring, and it's occurring just at a slower rate than we have typically seen, Tom. So I do believe still that the big carrier has the advantages that you mentioned there, particularly with the trailer pool networks and the things that we do on behalf of our customer community. But also, there's more technology available, more price discovery. There's just more information available to all participants across the supply chain. And I think that might be one of the changing dynamics but the fundamentals of having enough revenue to cover your cost base is still paramount. And I think that's why we continue to see the downward trend in capacity.
Tom Wadewitz: Great. Okay. Thank you.
Operator: Your next question comes from the line of Scott Group from Wolfe Research. Your line is open.
Scott Group: Hey, thanks. Good morning.
Mark Rourke: Good morning, Scott.
Scott Group: Just one more on price, I think what you're saying is low to mid-single digit on Truckload and flattish on Intermodal. So I guess, why do you think we're seeing that kind of spread? What has to change to get the two more aligned? And then maybe it's too early because bids aren't really in effect yet, but given a better outcome at least for shippers with Intermodal are you seeing or do you expect to see better compliance with Intermodal bids than Truckload bids?
Jim Filter: Yeah, Scott. This is Jim. I think the reason why you're seeing a little bit of a deviation there is probably what we've seen over the last few years that the network bids had dropped faster than Intermodal. Intermodal was more resilient through the downturn than what we had seen in one way network rates and now they're coming back into a little bit more of alignment there making Intermodal a little bit more attractive going forward.
Scott Group: Okay. And then on the can you just talk about the CapEx cut and is this just what you're planning to do with the fleet and tractors and if there's any consideration of redoing anything with the trailer fleet as well? And the Intermodal fleet as well.
Darrell Campbell: Yeah, this is Darrell. So I'll start Mark will add some color. So the strategy that we're implementing for the first quarter and the rest of the year is really consistent with what we've been doing for the past several quarters I would say. So we're dedicated we're dedicating our capital to the areas of strategic growth right? So Intermodal tractors and dedicated tractors that's not going to change throughout the cycle. Some of the commentary Mark made around network and the fact that it's not investible given current returns we're just affirming that our capital allocation reflects that. As volumes have moderated or expected to moderate our CapEx plan reflects that. It also reflects the fact that the cost per equipment or units of equipment has gone up and in some cases is related to tractors because of the tariffs. But there's a flip side to that which is that used equipment values are expected to improve and we've seen some of that. So our CapEx guidance does contemplate increased proceeds which we also see coming through in our game on sale assumptions. But as it relates to our strategy, our strategy is still clear. Our strategic areas of growth will continue to get capital. We're going to continue to invest in technology but to the extent that there's not a commensurate return we will not invest in growth.
Mark Rourke: Scott as it relates to the trailing equipment we're largely in the replacement cycle there so we don't -- outside special equipment and dedicated that comes with some new business awards it'll be mostly on the trailing side replenishment and we believe we're well positioned on the mobile front. Although as we continue to grow in Mexico there could be needs over time to invest further in Intermodal container growth but we think that 2025 will be largely stable with replacement.
Scott Group: Yeah can you just -- really quickly how much you've changed your gains on sale assumption?
Darrell Campbell: Not material. I'd say yeah couple of pennies a few pennies. Not a couple few pennies.
Scott Group: Thank you guys. Appreciate it.
Operator: Your next question comes from the line of David Hicks from Raymond James. Your line is open.
David Hicks: Great. Good morning. Thanks for the question. Just wanted to ask about the dedicated growth kind of runway. It's now 70% of the Truckload fleet post the Cowan deal. I know one of your peers is targeting that 70% range. Is that mix approaching kind of a natural feeling given kind of the competitiveness in that market current customer demand and kind of network constraints or is there still meaningful kind of room for expansion on the mix side of things for dedicated.
Mark Rourke: Yes. Thank you for the question. As it relates to mix we've said we don't really have any magic number relative to mix of dedicated verses network. We really look at this from a return hurdle standpoint and what adds value to the customer and the durability that we see long term and the attractiveness of deeper relations with the customer and dedicated. What I would note is that there is value of network helping support dedicated with ebbs and flows of demand across various account structures and verticals that occur within your dedicated portfolio. So there is some synergies that we gain back and forth through that alignment. I would also say that our focus in our Schneider Dedicated our legacy dedicated increasingly is in that specialty equipment space private fleet replacement. As you look at the recent Cowan very much a lightweight model that attracts shippers that are looking to have additional payload based upon their approach to their equipment spec. We have a multi-stop with M&M and very demanding service requirements. And then MLS has this terrific relay network that fits so well within the automotive sector. So we have some specialty capability within each of these that have broadened our reach in the various markets that we serve and we would consider all of those growth potentials and don't feel like we're sitting here because of the competitive situation that we can't continue to take advantage of those various platforms.
Jim Filter: And David just a couple other comments this is Jim is that there's a long runway still in Dedicated. This is a $400 billion market. We are a very small percentage of that. If you went back just a handful of years ago, about 50% of this market was private fleets. That has grown to 57%. And as we're talking to all of our customers that have private fleets, really none of them have any intention of growing their private fleets at this point and we've seen a number of them really start to change course and pivot to common carriers here and outsourcing. So you see a lot of opportunities continue to grow Dedicated over the coming years.
David Hicks: Great. Thanks Mark and Jim. And then just as a follow-up, you outlined $40 million targeted cost reductions from digital tools, automation et cetera, how much of that has been realized at this point and should that be a linear production throughout the year or is it more back half weighted?
Darrell Campbell: Yeah. So I think you outlined some of the things that we're looking at, but we're looking at essentially every cost category. I'm thinking mark-to-marks, you just highlighted a few of the things that we're seeing. Just to reiterate for the past several quarters actually four quarters in a row, we've been able to manage our variable costs within a very tight band and that is just a manifestation of all actions that we've taken, kind of, hard to give guidance in terms of linear versus not, but the $40 million is the full year annualized impact. Given the seasonality trends of our business, the cost would not be exactly linear and again we don't give quarterly guidance. The $40 million we think is achievable including some of the productivity actions that we have taken. The addition of Cowan, the synergistic effects there of bringing that into the portfolio. Those are all the things that are in the mix -- come up with a $40 million but we're not going to break it down by quarter.
David Hicks: Great. Thanks very much. Appreciate the time.
Operator: Your next question comes from the line of Ken Hoexter from Bank of America. Your line is open.
Ken Hoexter: Hey, good morning. That's a new one. It's Ken Hoexter. Good morning Mark Jim Darrell. Just, if I could follow-up on -- yeah we're not going to make that mistake. So maybe to follow up on Chris's timing question, and I get it you're not going to give us quarterly guidance. But to understand near-term maybe talk to seasonality in 2Q given timing of -- it sounds like you've got some timing of lost contracts. You've got startups that offset that. Do they balance each other? Talk about taking trucks out to improve utilization. There's the normal seasonality versus the air pocket of this huge -- air pocket of tariff volumes coming. Maybe if you step back from -- I'd love some guidance on the 2Q, but if you could frame the bull-bear case of the $0.75 to $1 outlook? Thanks.
Mark Rourke: I don't know Ken, we're going to satisfy your request on various quarterly guidance. But again we recognize there's uncertainty. We recognize that we -- there's a lot of obviously business of our size and the services that we provide across those segments that there are various moving parts, but we've tried to be thoughtful relative to various scenarios. We've tried to take into account of those scenarios on magnitude, the timing when they could occur. We've looked at our allocation season to date here. Now that we're three, almost four months into the year, you see the guidance and the range being a little bit wider to recognize I think some of that uncertainty. And we've done a number of things on the structural front, relative to our costs where we sit with renewals our asset efficiency efforts all the things that we've kind of just talked about and we've tried to be thoughtful to give our best insight of what we can see and know today and recognize that that could change, based upon the macro. The things that are most in our control we have obviously the most confidence in that and the things that kind of sit outside that whether that be trade policy or consumer health things that could ultimately end up driving the demand and supply and pricing equation is a bit more cloudy. But that's -- the timing magnitude and duration that gets us on the lower end of that and things that are as Jim mentioned, things can change rapidly. They could give us a little bit of a bathtub effect of those who stop and start supply chains and they have to restart generally puts chaos into the market and that could be a more favorable scenario. But -- so as we sit here today we try to take all of that into account in providing that range. Knowing that in the near-term would there be an air pocket possibly here particularly in the Intermodal import area? Could happen absolutely, based upon what you see sailings. And the question is how -- does our new business timing and magnitude of new business startups help cover some of that volatility? So that was our approach and that's what we tried to do with that guidance range.
Ken Hoexter: Awesome. Thanks for the insight. The -- how do you think about the -- a lot of this is about supply and demand right trying to find that balance over long-term. JB Hunt was talking about having 30% excess capacity on Intermodal. How do you sit there and look at your fleet and the ability or desire to keep the fleet shrink the fleet? What do you think on Intermodal to drive improved performance profitability utilization?
Jim Filter: Yeah, Ken, this is Jim. And as we look at our trailing fleet there, we're able to adjust and make some adjustments by stacking the equipment right now there's a little less than 10% that we have on stack. We would say that easily we could grow 25% without adding any trailing equipment. And if I look back to our previous high points in terms of container turns we'd be able to grow up to 35%. So there's still plenty of opportunities there, but it's -- as we're looking at growth we're staying disciplined and growing where we have areas of differentiation locations that we can take cost out of our network and just continue to improve that business.
Ken Hoexter: So with -- I mean, so with 40 -- so just to put that math together, right? 25% excess capacity growth 35% in turns, I don't know 50% excess capacity do you get rid of boxes or I mean doesn't that extend the downturn and constrain ability to get …
Mark Rourke: We have very long life and obviously Ken, there's a mixed implication there where you're growing on length of all. We feel that the work that we've done to put together our capability relative to how we execute on The Street, but also the partners that we've chosen have chosen us, but between the UP the CSX and the CPKC gives us differentiation in a very difficult place at times to get differentiation. And we're going to exploit those strengths and we're -- and so I don't think we need to eliminate boxes to get margins. We have to lean into our differentiation and on trend I think we're still very, very favorably positioned to perform very well in this market overtime. Obviously, we're in some difficult periods presently, but doesn't shake our confidence going forward.
Ken Hoexter: Great. Thanks Mark. Thanks, Jim. Darrell, appreciate it.
Operator: Your next question comes from the line of Jon Chappell from Evercore ISI. Your line is open.
Jon Chappell: Thank you. Good afternoon. I am sorry, good morning. Mark, correct me if I'm wrong, but did you insinuate that maybe there's some business you're walking away from now during this mini bid process and some of the price pressure? And if that's the case are you doing more maybe partial Truckload which plays a role in the efficiency of the network fleet?
Mark Rourke: Great. Jonathan, thank you for the question, I think my -- in my prepared remarks I mentioned that staying disciplined on price means, in certain situations that we will take less volume under those circumstances with an individual shipper. And what's reinforcing that strategy across the network is that we're seeing, on a regular basis, more and more mini allocation events that come back out after the fact, because of something not working right on behalf of the customer or new business or whatever is going on relative to the customer's network. And by not committing our capacity at rates that we believe don't recognize the value we're providing or what's a commensurate return allows us then to say, yes to these newer opportunities that are more attractive. And so that's the discipline that I was referencing, and that was mostly in the Network business and mostly in the truck network business, even more so than Intermodal.
Jon Chappell: Okay. Got it. And then as a follow-up, to try to simplify Hoexter's question partially because I just want this Hoexter's [indiscernible]. You're at the tail end of earnings season. And I think we've seen a bunch of guidance revisions for obvious reasons. And I think some have implemented tempered seasonality, which is May is better than April, June is better than May, but not at a typical magnitude. And I think some have incorporated kind of flat bridges from a weak March to the second half and the uncertainty that's incorporated in the second half. Would you consider yours more of the former, the tempered seasonality, or just kind of almost writing off the second quarter at this flat line March, April and then the second half is kind of up for our interpretation?
Mark Rourke : I think if I understand your question correctly, Jonathan, I think what Darrell laid out is recognizing kind of where we came out of the second -- out of the first quarter, and there was a tempering, certainly seasonality-wise, at the end of the quarter and taking into account some more tempered expectations on price and volume going forward vis-à-vis our prior guidance. So however that is defined and the way you described those two conditions is what we tried to communicate there.
Jon Chappell: Okay. Thanks, Mark.
Operator: Your next question comes from the line of Daniel Imbro from Stephens. Your line is open.
Daniel Imbro: Yes. Hi. Good morning, guys. Thanks for taking the question. Maybe a follow-up on an earlier conversation around Intermodal and just Intermodal pricing. Just curious, I think rates on a per load basis were up a little bit year-over-year? I'm guessing that may be positive mix coming out of Mexico. But can you talk about where you're seeing that strength in Intermodal pricing? And then how are you seeing price develop through bid season? We've heard others say bid season is getting more competitive. Just curious how bid season has progressed on the pricing side?
Jim Filter: Yes, Daniel, this is Jim. So as we've gone through, and what Mark shared, obviously, it's been flattish is the way we would describe it as we've gone through the bid season, and that's really the core renewals. As you're looking at rate per order, you're correct, it's been three quarters in a row that we've seen improvement in our revenue per order. Just as we're looking going forward, though, I do anticipate that there are going to be some mix changes here as we go through the remainder of the year. So it's difficult to just align what we're seeing in our core renewals to actually into rate per order.
Daniel Imbro: Okay. That's helpful. And then...
Mark Rourke : That was the Intermodal truck side. Low to mid-single digits have been our experience through the first part of the allocation season this year but again, building upon those increases that we've had really since the second half of 2024.
Daniel Imbro: Got it. Helpful. And then maybe a follow-up on the previous discussion around Intermodal capacity. I think you said net of that, probably 40%, 50% excess capacity in the network. I guess if we're at a 5.3% margin now, and your long-term target is 10% to 14%, are we really just multiple pricing cycles away? I'm just trying to figure out what needs to happen other than, obviously, the industry tightening from the demand side, to actually get back towards high singles or into your long-term margin range? Just curious kind of what the actual building blocks are to get there.
Mark Rourke : Yes. Jim and I are fighting for clarity here. If we take everything, again, mix dependent, longer length of haul, mix, all have more box consumption depending upon your mix, but we have stated and still believe that we have that 20% to 25% ability through our efficiency actions relative to our dray, how well the railroads are performing, our customers are unloading the container. Again, there's lots of inputs to that, that we could grow our order volume in that 20% to 25% without investing in additional boxes and chassis. To get back to what we target our long-term ranges all the things I just said there, but certainly price is part of that equation and the truck alternative as that becomes more favorable that brings more pricing capability back into the Intermodal arena as well. So it's kind of an all of the above and not one single thing will drive that. But the underlying execution of our capability and the railroad's capability gives us confidence that we can get back to that particularly through the asset efficiency of our boxes.
Jim Filter: Yeah. This is Jim. Just to clarify that we're talking about -- we see 25% as the opportunity to growth. What I was -- it wasn't additive in terms of what I was discussing getting back to long-term container turns. That was from our current point to our long term would be 35%. And then just one other key point I think on restoring profitability, it's growing, it's growing in areas where we have differentiation. And then our dray capacity, so we did use a little bit more third-party capacity here in the quarter than what we typically do. So we have an opportunity through these bids to -- we've been able to optimize our dray capacity and that will be a big part of getting ourselves back to our long-term margin.
Daniel Imbro: Got it. But no change in where you think the margin can get to even with this excess capacity in the industry?
Jim Filter: That's correct.
Daniel Imbro: Thanks so much.
Operator: [Operator Instructions] Your next question comes from the line of Bruce Chan from Stifel. Your line is open.
Bruce Chan: All right. Good morning, gent. I hate to kind of flag right off the bat here but I've got kind of a two-parter on Intermodal versus Truckload. And just on the shorter term, you talked about the volume strength and resiliency in Intermodal. Wondering, if it's fair to say that there's been maybe less of an inventory pause there versus Truckload due to I don't know less elasticity or maybe more consumer nondiscretionary exposure there in the end markets. And then kind of big picture maybe asking what's been discussed in a different way, the past five years since the pandemic have been very let's call it dynamic. So if I think about the original road-to-rail conversion thesis and what's happened with relative pricing and service disruption and maybe less of a mandate from ESG, do you still feel as confident in that conversion thesis as you did in maybe say 2018 or 2019? Thanks.
Jim Filter: Yeah. This is Jim, Bruce. Thanks for the question. And to answer that, yes, we're still confident of that thesis of conversion from over-the-road to Intermodal. Really what's really changed over the last couple of years that has driven more conversions from the rail to over-the-road has been the pricing dynamic that we were speaking about. And as we were talking about just what we're seeing going through this bid season that our over-the-road rates that we're seeing not only with us, but in the industry have been rising a little bit faster than Intermodal and that's really what it's going to take to get back to that long-term mix between over-the-road and Intermodal.
Mark Rourke: And Bruce, I hate to say it I think I forgot the first part of your question.
Bruce Chan: Yeah. I was just trying to identify, where the relative volume strength in Intermodal is coming from and maybe that's just been less of an inventory pause.
Mark Rourke: Yeah. I think overall sentiment going forward has moderated. If you look at the current -- the freight environment we've experienced from the fourth quarter through the first quarter, I think we would characterize that as being more stable. And it's been the forward-looking sentiment whether that be because of tariffs or consumer or the forward-looking that hasn't -- haven't really felt it yet is where the concern or the uncertainty lies. And so maybe that's what you're referencing there is that overall it's been -- the consumer has been fairly resilient to this date, supply chains have been fairly stable to this date and so the business has been stable as a result. So, we'll have to see what the future quarters unfold. But we wouldn't say we felt a great deal. We did see a little bit of tempering certainly at the end of March, but not dramatic. We haven't seen any of these dramatic shifts that feel like in some quarters or some experts feel is ahead of us.
Operator: And we have reached the end of our question-and-answer period. This does conclude today's conference call. Thank you for your participation. You may now disconnect.